Operator: Good day everyone and welcome to the Five9 Inc. Third Quarter 2018 Earnings Conference Call. Today’s conference is being recorded. At this time, I would like to turn the conference over to Ms. Lisa Laukkanen. Please go ahead, Ma’am.
Lisa Laukkanen: Thank you, operator, and good afternoon everyone. And thank you for joining us on today’s conference call to discuss Five9’s third quarter 2018 results. Today’s call is being hosted by Rowan Trollope, CEO; Dan Burkland, President; and Barry Zwarenstein, CFO. During the course of this conference call, Five9’s management team will be making projections and other forward-looking statements regarding the future financial performance of the Company, industry trends, company initiatives and other future events. You are cautioned that such statements are simply predictions and should not be unduly relied upon by investors, and actual events or results may differ materially, and the Company undertakes no obligation to update the information in such statements. These statements are subject to substantial risks and uncertainties that could adversely affect Five9’s future results and cause these forward-looking statements to be inaccurate. A more detailed discussion of certain of the risk factors that could cause these forward-looking statements to be inaccurate and that you should consider in evaluating Five9 and its prospects is included under the caption Risk Factors and elsewhere in Five9’s filings with the Securities and Exchange Commission. In addition, management will make reference to non-GAAP financial measures during this call. Management believes that this non-GAAP information is useful because it can enhance the understanding of the Company’s ongoing performance and Five9 therefore uses non-GAAP financial information internally to evaluate and manage the Company’s operations. This non-GAAP financial information should be considered along with and not as a replacement for financial information reported under GAAP and could be different than the non-GAAP financial information provided by other companies in our industry. The full reconciliation of the GAAP to non-GAAP financial data can be found in the Company’s press release issued earlier this afternoon and it is also available on the Investor Relations section of Five9’s website. Now, I’d like to turn the call over to Five9’s CEO, Rowan Trollope.
Rowan Trollope: Thanks, Lisa. Q3 was another outstanding quarter in which our results significantly exceeded our expectations on both the top and bottom line. I was blown away by the execution from the entire team as we not only executed well but accelerated our growth rate. The performance this quarter continues to reinforce Five9's position as a leader in our market. In addition, we stepped up investments in our strategic priorities and core technologies while advancing our AI initiatives and building our talent bench. Before diving into some of our activities in the third quarter, let me provide some financial highlights. Revenue was a record $65.3 million and the year-over-year growth rate accelerated to 30%, driven primarily by our enterprise business. Enterprise subscription revenue, which is the fastest growing and most profitable part of our business, continued this multiyear performance of growing in the 30s, posting growth of 37% on an LTM basis under 606, but 39% on a more comparable basis under 605. Adjusted EBITDA was a record $12.8 million, representing a 19.6% margin up 3.8 percentage points sequentially, demonstrating the considerable leverage in our business model. So given this ongoing momentum, we’re raising 2018 guidance for both the top and bottom lines. Now, we’ll move on to some of our accomplishments and activities since the last time we report it. As many of you know, Five9 is a born in the cloud SaaS Company. We have always been obsessed with helping businesses deliver a phenomenal customer experience through the contact center. Today, we’re doing that by creating the world’s best self-learning intelligent contact center delivered through the cloud and powered by artificial intelligence. Today, our platform service customers of all shapes and sizes so no two customers are the same. We’ve achieved that by continuously and iteratively honing and refining those capabilities, guided by our customer’s needs. And that is only possible because we deliver a true multitenant cloud platform. In the last quarter alone, we delivered over 50 new features and capabilities and we did all of that without the need for customers to reinstall or upgrade and importantly without any impact the service levels, maintaining Five9’s industry leading reliability. So for example, in September, a Dreamforce 2018, we announced a new set of capabilities going live on our platform that we’re targeted at deepening and strengthening our partnership with Salesforce. It was awesome to visit our overflowing booth where our team frankly did an amazing job and generated a record number of leads. At the conference, we were also recognized by Salesforce as one of the only trusted [fast start] CTI partners, enabling frictionless adoption of Lightning for the contact center. Now after Dreamforce, we attended Google’s next conference in London where we presented to a packed house showing how Five9 and Google will bring artificial intelligence to our customers. Now, the biggest investments for contact centers today are their people and we believe the AI will play a critical role in making those people more productive, more engaged and more efficient by automating the routine tasks that they do, every single day. We’ve been working together with Google on pilots with our key customers, and we’re already starting to see very, very encouraging initial results. So underscoring and validating all of this progress, I’m pleased to announce that we were named a leader in the first ever Forrester Wave for the cloud contact center and acknowledges having one of the largest market presences in the industry. Also, for the fourth consecutive year, we were recognized as a leader in the Gartner Magic Quadrant for contact center as a service. Both of these recognitions are external validation that Five9 as a trusted partner to enterprises, delivering a secure, reliable, scalable and innovative platform with a compelling vision for the future. Now, also this quarter, I’m pleased to report that we have added new leadership in a number of areas including our new CMO, Ryan Kam, a long time Salesforce and AppDynamics creative and digital marketing leader. I'm confident that Ryan is going to help us accelerate and refine our message to the massage while further enhancing our demand gen initiatives. On the product front, I'm pleased by the quality of candidates we're seeing to lead our engineering organization. While the search continues, I continue to lead the product team directly and that is providing me with invaluable first hand insights on the product, on our customers and also the marketplace. So overall, we made great strides in the third quarter further solidifying our industry leadership position, building our customer first culture and advancing product innovation to capitalize on the huge opportunity that's in front of us. And I continue to be amazed by the talent and the drive of the entire Five9 team since joining as CEO 6 months ago. So with that, I'll turn the call over to our President, Dan Burkland to dive deeper into why enterprise customers are trusting our platform to handle their most critical customer interactions. Dan?
Dan Burkland: Thank you, Rowan. Just to touch again on the points Rowan mentioned, having spent 30 years in this industry and about our entire my 10th year here at Five9, it gives me a unique perspective throughout the year to serve enterprises with the vast complexity, diversity and challenges of many kinds. As a result quarter-in quarter-out, year-in year-out, we here at Five9 have continued to build in the necessary functionality, security, scalability and reliability while creating an open configurable and customizable platform to help enterprises, modernize and innovate and ultimately exceed their customer experience goals. While building the platform and product are critically important, I've also found that product alone does not translate to success. Equally important to product is well, enterprises are choosing a partner. One that they trust will bring them the knowledge, knowhow and expertise to customer, optimize and continuously fine-tune the solutions to meet the ever changing nature of the customer environment especially as we've seen consumer expectations evolve over the recent years like never before. That's why customers choose Five9 and build longlasting partnerships with us. I'm often asked what helps us to sell most effectively and I always answer, it's our customers. They love what we do for them and they are the best sales advocates we have, sharing their experience with the other perspective Five9 clients. With that, I'm pleased to report that Q3 enterprise bookings hit an all-time record and our pipeline reached another all-time high. I'd like to share several new customers who signed on with Five9 during the quarter. The first example is a biopharmaceutical company who had been using an outdated on premise systems for their global operations. The customer was unable to efficiently manage their operations across multiple sites, could not adequately integrate to salesforce CRM and had limited visibility and control over at the data which prevented it from delivering an optimal customer experience. With Five9, this customer is implementing a full omni-channel solution with voice, chat, email, SMS, visual IVR, performance dashboards in addition to the Five9 WFO suite powered by Verint. We expect this initial order to result in approximately $2.2 million in annual recurring revenue to Five9. The second example I'd like share with you is a major public utility providing power and water to its customers. The customer had been using an on-premise its legacy systems that had become outdated and required expensive maintenance and upgrade costs. Five9 was able to show them a complete end-to-end solution including MPLS Agent Connect, omni-channel for voice and email along with Five9 WFO powered by Verint and integration to their existing PBX. We anticipate this initial order will result in approximately 1.6 million in annual recurring revenue to Five9. The third example was a market leading producer of medicines and vaccinations. They had been using a combination of an on-premises system and another cloud offering, neither of which had deep integration to Salesforce and also created silos between the two disparate systems. They began their search for a modernized all-in-one contact center solution about a year ago and included many vendors in their evaluation. Five9 was selected for its flexibility, rich WFO solutions powered by CSI, deep integration with Salesforce CRM for omni-channel, ability to connect to the customer's existing global MPLS network and Five9 Genius for artificial intelligence agent assist in the future. We anticipate this initial order will result in approximately 1.6 million in annual recurring revenue to Five9. Now I’d like to share with you an example of an existing customer who’s continuing to expand its business with the assistance of Five9. One of the fastest growing insurance brokers in the U.S. began as a Five9 customer in 2016 for 400 of their seats and continued to grow over the next few years to nearly 1,500 concurrent seats, adding over 300 in the most recent quarter. The reason for this continued expansion is the trust that they have in Five9 to provide them with critical resiliency and security. More importantly, they are looking for a partner to deliver a holistic enterprise solution across all of their departments. As you can see our industry leading solutions enable enterprises to achieve their digital transformation objectives by leveraging critical customer data to enhance the customer experience. I’m very pleased with our momentum in the enterprise market, which continues to be driven by our proven track record validation from third-party trusted sources like Forrester and Gartner and our strong reputable customer base. In addition, our expanding go-to-market team and ecosystem of partners, which once again influenced more than 55% of our enterprise deal flow in the third quarter. We believe we are extremely well positioned in this growing large market. Now, I’d like to turn the call over to Barry to provide more color on the third quarter financials.
Barry Zwarenstein: Thank you, Dan. This was another excellent quarter with revenue growing 30% and adjusted EBITDA margin increasing year-over-year for the 20th consecutive quarter, reaching 19.6%. Before going into specifics, some reminders, and as otherwise indicated, all financial figures are discussed below our non-GAAP and ASC 606. Additionally, all growth rates are compared to the prior year period unless stated otherwise. Finally, note that the reconciliations from GAAP to non-GAAP results and from 606 to 605 are included in the appendix of our investor relations presentation available on our website. Third quarter revenue was a record $65.3 million, up 30% year-over-year. Our fastest growth rate built in public in 2014. The strong year-over-year growth was driven by the continued growth in our enterprise business, which make up 76% of our LTM revenue. Additionally, for our commercial business which represents the other 24%, the strength we saw go last quarter continue this quarter with growth now over 10% year-over-year. Recurring revenue again accounted for 93% of our revenues. The other 70% of our revenue was comprised of Professional Services. Our annual dollar-based retention rate on the recurring revenue in the third quarter was 101%, up from the 99% we reported last quarter. Third quarter adjusted gross margins were at 64.3%, an increase of nearly 130 basis points year-over-year. Adjusted gross margins are now increased each quarter for the last 23 quarters. Turning now to the expenses. Third quarter non-GAAP sales and marketing R&D and G&A were respectively 24.8%, 10.6% and 9.4% of revenue. These were respectively 6 percentage points lower year-over-year to sales and marketing, of which 2.8 percentage points was used as a 605-606 transition, 0.8 percentage points lower for R&D and 1.2 percentage points lower for G&A. Third quarter adjusted EBITDA was $12.8 million, representing a record 19.6% margin. This was an increase of 9.2 percentage points year-over-year of which 2.8 percentage points due to the accounting transition. The adjusted EBITDA improvements continue to be driven by the strong growth in our enterprise business which enjoys excellent unit economics and by the ongoing operating leverage. Looking forward, we expect to continue to drive solid revenue growth and progress towards our second half 2019 and long term EBITDA margin model of 22% plus and 27% plus respectively. Our confidence in meeting these targets is based upon the persistence of the factors which has driven year-over-year improvements during the last few years. Third quarter GAAP net loss was $1.3 million. Our non-GAAP net income of was $11.1 million. Finally, before turning to guidance, balance sheet and cash flow highlights. DSO for the third quarter was 29 days. As I have remarked before, we believe that excellent DSO performance is an indication not just the payment terms and the mission criticality of our solution but also the level of customer satisfaction. Looking ahead, we expect DSOs to increase gradually as a mix shift to enterprise from commercial continues. Our LTM operating cash flow as of September 30, 2018 was $26 million a year-over-year improvement of $15 million. We are optimistic about our potential for long term cash generation given our adjusted EBITDA model by substantial NOLs and our low DSOs. Capital expenditure in the third quarter was $3.4 million essentially all of which was paid for in cash. I like to finish today's prepared remarks with the brief discussion about our expectations for the fourth quarter and the full year 2018. Note that our guidance reflect no material difference in revenue between 606 and 605 and that's the bottom line benefit from capitalizing and amortizing the significant portion of commissions will be in the range of $6 million to $7 million for the year. For the fourth quarter of 2018, we expect revenue in the range of $65.8 million to $66.8 million, GAAP net loss is expected to be in the range of $2.7 to $1.7 million for $0.05 or $0.03 per basic share. Non-GAAP net income is expected to be in the range of $8 million to $9 million or $0.13 to $0.14 per diluted share. This guidance for the current quarter reflects higher anticipated R&D expense. For 2018, we expect revenue to be in the range of $251.1 to $252.2 million. GAAP net loss is expected to be in the range of $6.7 million to $5.7 million or $0.12 to $0.10 per basic share. Non-GAAP net income is expected to be in the range of $30.4 million to $31.4 million, or $0.49 to $0.31 per diluted share. I would also like to provide insight into our current thinking with 2019. While we are not providing formal guidance at this stage, we can provide some high level commentary. First, with respect to revenue, we are comfortable with the current projections for the full year 2019. We expect revenue to follow a typical seasonal pattern with a sequential growth being stronger in Q3 and Q4 and Q2 being relatively flat. Second, with respect to non-GAAP net income. We are also comfortable with the current street projections for the full year of 2019. However, we would like to remind you that there is meaningful increase in costs and expenses in the first half due to the FICA reset and importantly increased investment in R&D that we have been talking about. Please note that this increase first have expenses, I expected to occur during the seasonally weaker part of the year. For modeling purposes, we’d like to provide the following additional information. For calculating EPS, we expect our diluted shares to be 63.5 million and basis shares to be 59.5 million for the fourth quarter and 52 million and 58 million respectively for the full year 2018. We expect our taxes, which relate mainly to foreign subsidiaries to be approximately $60,000 for the fourth quarter and $211,000 for the full year 2018. Our capital expenditures for the fourth quarter are expected to total approximately $4 million to $5 million. For the full year 2018, we expect capital expenditures to between $14 million and $15. In summary, we are very pleased with our third quarter results, which demonstrate our consistent execution. Going forward, we will continue to strive for solid revenue growth while progressing towards our second half 2019 and long-term financial targets. And now, I’d like to open the call for questions. Operator, please go ahead.
Operator: Thank you. [Operator Instructions] We’ll here first from Sterling Auty with JP Morgan. Please go ahead.
Sahil Sharma: This is Sahil Sharma on for Sterling. Congratulations on the quarter. So my question is that the SMB segment grew again by double-digits this quarter. So how’s the focus going to be going forward?
Rowan Trollope: This is Rowan. We did see the commercial segment continue to grow as you mentioned and we're going to keep putting focused. I'll turn over to Dan, who I think can give some more of the commentary about what specific things we've done that driving some of that performance.
Dan Burkland: Great, Rowan, and thank you for the question, and as you saw in the last couple of quarters. We've seen execution and just closer focus on making sure that we maintained our basic customers, continue to grow with them and expand them as well as capture new clients in that space. So while it had been growing in the small single digits previously it's picked back up in to the 10% plus range.
Operator: Thank you. Our next question will come from Scott Berg with Needham.
Scott Berg: I have two quick ones. We'll start with Rowan. I wanted to see if you can talk about some of the consolidation in this space. Over the last 3 or 4 months, you've seen companies like Vonage by or acquired New World VoiceMedia and obviously [Ring] got involved and [indiscernible] now some fundraising in general. But I just wanted to see if you have any thoughts on what means to maybe your opportunities of what you're seeing competitively?
Rowan Trollope: Well, I think the folks are picking up on something that we've known for over 10 years here at Five9 and that's the cloud contact centers as a massive opportunity. And so, it's no surprise that these folks are coming to the party. Obviously, each of those companies is taking a different approach. Ring [ph] obviously has a partnership with NICE and bought DeNova, which is the piece of the contact center. So, I wouldn't say they've achieved a contact center offer of their own yet. NewVoiceMedia being acquired by Vonage, it's clearly -- they seem to be on the path through their string of pearls of acquisitions to attempt to build a complete sort of collaboration stack offer to the market. NewVoice is really kind of falling up the map for the last few years primarily obviously based in Europe and historically only really available as part of Salesforce. And then, Twilio just kind of deepening their toe in the water with Flex and so I think that one too soon to tell. But the bottom line is all of these folks are seeing the opportunity to disrupt the legacy vendors, right. The premises and even hosted so called cloud offers just aren’t what customers want. They want real cloud offers and that's what these new disruptors are following Five9 on.
Scott Berg: And then my follow-up is probably for Dan. Dan, your sales and marketing efficiency at least how we calculate them have been improving significantly last your 18 months and given the growth rate I would consider to be off the chart this quarter for you guys. Any thoughts on that fitting in some of your capacity maybe a little bit more aggressively going forward because whether it's deal sizes getting bigger? Maybe more deals in the funnel you're do something right there just to know if you have opportunities to invest even faster today?
Dan Burkland: Well, I appreciate it Scott, and thank you for the comment. And yes, we're seeing an increase on several fronts and I think several factors are contributing. You mentioned an increasing productivity is one and increase in our customer base and growing with Five9 is second, and increasing our reach through our different channel and ecosystem partners and just our brand as a whole. And like we said in the earlier comments being recognized as a leader by Gartner for 4 years in a row now and certainly by Forrester in their first wave, so it’s giving us momentum in several different areas. So we continue to kind of hit on all cylinders. And I think you’re seeing that in the results. And we have no reason to slow that down or change our strategy. It’s working very, very well. And we just look forward to continuing to expand. The market continues to bring us further up into larger, larger deal sizes and we also see expansion outwardly into new markets and new geographies. So I think it’s a great situation to be in. And like we’ve said many times before, we're at the early stages or early innings of the ballgame, if you want to say that. But there’s a whole lot of market left and we're at the point where if you look at the penetration rate of folks that have made that transition over to cloud, it’s still by most accounts in that 10% to 20% range. And so, there’s a whole lot more to go.
Operator: Our next question will come from Meta Marshall with Morgan Stanley. Please go ahead.
Meta Marshall: I just wanted to kind of get some insight on the Professional Services Group because I know in some ways that it had been a gain item to growth and now it’s no longer kind of seems to. And so just getting a sense of our implementation times shrinking, is that group just becoming more experience just something that like, seems as if you’re getting better leverage out of that group? And then maybe second question. I’m sorry. Go ahead.
Rowan Trollope: That's right. Go ahead with second question.
Meta Marshall: So the second question is just on the usage elements to Q3. Obviously, election due then -- kind of annual enrollment. Just it was there any excess contribution of usage kind of in Q3, but you think this is kind of above normal seasonality?
Dan Burkland: Meta, this is Dan. I’ll handle the first question on PS. Yes, we’re just seeing greater efficiencies out of that team. We’ve actually brought in some new leadership to head up Professional Services with folks that have had experience in working both in building and scaling and applying tools and methodologies that allow us to do things better. We continue to gain more and more experience, I think been doing these ourselves for many, many years and starting to leverage some third parties in that effort as well. So I think when you look at all three of those vectors, you’re going to see some continued improvement. We have no reason to believe that we won’t achieve our goals of leading that Professional Services into a positive margin as opposed to negative. So, we’re on track to do that and look forward to continuing to show improvement there.
Barry Zwarenstein: Meta, with respect to the usage, nothing special there, it tracks pretty closely with our fees cost, which was strong. And yes, with the elections, we didn’t see me very much change, in fact we didn’t even track it this time. Much of that is despite your phone ringing and saying something at home is coming through digital. So an open enrollment and you just started this quarter.
Operator: Thank you. We move to Mike Latimore with Northland Capital Markets. Please go ahead.
Vijay Dewar: This is Vijay Dewar for Mike Latimore. I know that you've talked this briefly about your search for the new CTO. Could you just give you more updates on how the process is going forward? And do you have any different timeline for getting the new leadership in place?
Rowan Trollope: Vijay, this is Rowan. We are seeing -- first of all I'd say, we're seeing very strong interest. We've had lots of candidates from across the Silicon Valley and elsewhere, applying and interested in the role. I think the profile of the Company is to credit for that and the huge market opportunity when people see, and especially when people hear about the data that we're sitting on. The tied data we have 4.5 billion minutes of recorded phone calls per year that we could start to leverage from an AI perspective. That brings out the best. That's the kind of things that the top talent in the valley is looking for. And so, it is one of my highest priorities. It's been going really well. I am also taking the time to get right. This is a key hire for us. And I do expect to have it wrapped up shortly. In the meantime, given me -- just to finish off the thought, I guess, in the meanwhile while I've been doing the search, I've been the leading the team directly. And that has been invaluable to me as the CEO to dig in with our customers, with our engineering teams to understand the product in the marketplace that much more deeply. And frankly, I've been very, very impressed with our engineering teams who have just done phenomenal job at delivering the kinds of innovation that we've had up until now and you should see what's in the pipeline it's very exciting.
Vijay Dewar: And I think you haven't spoken much about channel booking. So do you have any number over there and how the channel sales going on?
Rowan Trollope: Well, I'll let Barry comment on numbers, but I'll just say that the channel is important to us. We've shared before in our deck as we've been out with our investors. The channel contributes to a big amount of referrals that we get. And they touch a good number of our goals. That's only going up we believe. I recently came back from Europe where the channel interest in Five9 was off the chart. They're sort of seeking us out by every channel they can possibly find to sort to get a hold of us and they just start hearing it from customers. So I think the demand for Five9, the increasing awareness of the brand is really translating into very, very strong interest from the channel. And so, it remains a priority and it's increasing in priority for us. Dan, Barry you want to add color to that?
Barry Zwarenstein: Yes sure. We continue to get increased leverage from the channel across the board. And when you look at when we say the channel generally, you're talking about different categories, right. So we have the mass agent community which still gets written directly those deals that they bring to us and they consult for and really have great influence over the enterprises. They bring those opportunities to us. And then we work them and close them and contract directly with end-user customers, but those are still channel sourced deals if you will or channel sourced business. And that's been great and those are on a referral business and that just continues to grow and now represents over 30% of our business in enterprise that comes from the variety of channels. Big part of that is the master agents, as I mentioned and their sales agents, but also you've got referral partners and just the consulting community that refers business to us and then you've got your true resellers, mostly VAR that want to take the product in the old traditional methodology putting on their paper and service that customer as their own. And that's a lesser piece of the business because it's a cloud provider and customers know that it's our platform it's in our datacenters. It's monitored and managed 24/7 and all the upgrading and capabilities that we delivered to them are pushed directly from Five9 to the end user customer. So they tend to want to contract more often with Five9 then traditionally going through a VAR our contracted with them, but that does not mean that we’re not getting huge leverage from those channels.
Operator: We move next to Matt VanVliet with Stifel. Please go ahead.
Matt VanVliet: I guess looking out towards the end of the year and into 2019, as you talked about really strong pipeline. What sort of the broader mix of deals that are in rip and replace a legacy solution or build on top of up and around legacy solution versus companies out there now sort of embracing the whole customer service element and standing up net new contact centers? And how much of that is driving the business?
Dan Burkland: This is Dan. Great question. It’s very rare that you find somebody just standing up a 500-seat contact center from scratch because you've got to have a business and have volume of customers that are wanting to contact you daily and that’s typically something that grows from the ground up. So, those typically start rather small. It’s also a critical reason why we continue to stay focused on our commercial business because a lot of businesses that do come about start in a small sense and then grow to become very large enterprises, so we capture quite a lot of those. But the vast majority, really, the lion share of the business that we’re working with clients on is taking their entire operations and their old legacy environments where they’ve built silos of technologies that require expensive upgrades, difficulty integrating site-to-site routing calls across sites. It’s very difficult to manage that and you end up with a big staff and a lot of inefficiency that gets created. And that’s really been something we’ve been living off of from day one as a cloud provider. We create one virtual contact center as you know. So, it is primarily helping companies to take that digital transformation strategy and moe and use the contact center as one of those areas that they want to migrate and get a technology footprint out of their own data centers and leave it up to experts like us to take that over. So to answer your question in a long winded way, we’re transforming the legacy on-premises systems over to the cloud. In fact, when we show them the future proof and the investment protection that they can gain by working with a cloud provider like Five9 often times because they love the fact that we can continue to innovate and help them achieve their ultimate goals. But what they want? They wanted to say, great. The first step is to take all my legacy stuff out and it's off my premises. Give me a like-for-like solution and then we’ll innovate and expand from there. And that’s one thing that we’ve become very, very good at in fact the comment earlier about Professional Services because we’re doing a lot of the work to replace what they have, we know what is involved there. And then we continue to enhance and add capabilities. But again, the lion share is primarily taken old legacy systems and moving them to cloud.
Rowan Trollope: I’ll just add one thing. That’s a great color behind it and this is anecdotal. But I was with a CEO of a Fortune 500 company last week, and he was quite animated about his contact center. And really it was about -- it was the, sort of a story about digital transformation. What he was all about was? Look, my customers are leaving me because they are getting a better experience for someone else. And he was really concerned about this, and he’s sort of -- so, you can say the digital transformation at least in the case of this CEO was the spark that let the fire and that fire eventually sort of turns into as it rolls down hill in the organization until the contact center people when hit them, it's like their hair is on fire. And that's what a big driver of our business and I can hear it when I talk to the CEOs. I mean it is a massive priority for them. It's a life and death issue in many cases. It's either they transform their customer experience or they realize they're not going to doing business for long.
Matthew VanVliet: And then when you look at similar situations where we're talking about big digital transformations. How many customers are you seeing that the actual sort of voice telephony element of the contact center is becoming much less important and maybe less of a strategic driver of a business decision versus your ability to engage with the customers digitally across multiple channels across social media if need to be? And because we're seeing a lot of investment, you touched on a couple of them before from some of your competitors that haven't gone to building out the full solution but are attacking it from just the digital element. So are they sort of fringed getting involved in some of these RFPs for customers ultimately maybe win with the broader solution, but they can offer that at maybe a lower ticket price? How are you I guess fighting off that competition as companies feel like digital element is maybe the most important?
Rowan Trollope: Yes, well, first of all, we have a complete offer. So, they turn to us for not only voice, but for messaging and email and all of the channels. And we work better than anyone else with the CRM vendors including most notably Salesforce where you can run in a blended mode. So if you've chosen for example Salesforce for year our messaging or your email, you can work really work with Five9 providing voice or other capabilities. And that's something that we announced at Dreamforce 2018. So you know but back to the sort of the broader question around. What drives this? It's less and less technology upgrade conversation around telephony. In fact we just went through a list of all of the possible integration points between unified communications and CRM. And we're talking probably 5 times more integration points between a call center and a CRM systems than between a call center and UC system. And so what people are seeing here is a transformation of the overall digital experience touches on lots of parts of their business. And the call center sits at the center of a lot of those things and needs to integrate really, really tightly into those. And CRM and all the associated capabilities that come along with CRM are a big driver of that. So that's where what you're seeing these things get connected. And we do a tremendous job at integrating with those guys so that you can get a very seamless solution crossing from voice and messaging and email and so on. Dan, do want to take that?
Dan Burkland: Yes and just add to that. Over the last several years, you may have thought all of the digital channels are coming into play. Are they cutting into the importance of voice? As you mentioned, is voice becoming more of a commodity piece? And what's happening is just the opposite. I mean right now and just in a last year or so with the advent and really artificial intelligence coming about, we're finding the customers are more and more interested in figuring out, how do I minded the data that easy in all of my voice conversations. If I have 500 agents in contact centers, I probably got 300 of them talking to customers all day along. And there is a lot of valuable data that's there. And what CRM solutions have relied on, is those agents the dispositions calls with a couple of categories about what the call was about. But we're finding that now with the AI capabilities that Rowan mentioned earlier about with Google being able to transcribe those voice conversations and extract the data from the conversation, and then perhaps put it into the CRM and have it stored indefinitely as key elements of that interaction is so, so important. And that doesn’t even touch on the agent assistance and virtual agents that ultimately could become available to us. So when you look at voice, voice is actually making a resurgence and really becoming so, so important to enterprises. They’re finding out, how do I capture my calls? How do I record them? How do I keep them indefinitely? And then how do I transcribe them? So that I can data mind them and pull that important data out of those conversations because historically, it’s been very difficult to get to that data. And they just -- you have to have people sit and transcribe and, they can only listen to 2% of the calls, if they want to pull data out of them. So, very, very much a new trend.
Operator: Our next question will come from Raimo Lenschow with Barclays. Please go ahead.
Raimo Lenschow: Can I stay on that subject from AI? If you think about the, Rowan and Barry, and then what is talked about like the. Is that going to be you as the guy that has to help with that AI or is that going to be the stuff that comes from the CRM vendor? It was my first question. So in other words like, how much more intelligent does used system needs to be versus where the CRM vendors need to go?
Rowan Trollope: This is Rowan. Thanks very Raimo. It’s a combination, but what Dan was just referring to and what we’ve been talking about really is exclusive to the contact center. We’re sitting on probably the biggest source of dark data in the enterprise today. And that is customer voice conversations. You’re talking -- again, I mentioned that earlier, 4.5 billion minutes a year that flows through our pipes that we can use to train artificial intelligence systems. And turns out that’s all of that data, we think was data. But what is it really, what your customers are telling you they want from you and what problems they’re having with your product or service. And so it’s incredibly valuable and absolutely, I think the vast majority of the value that needs to be extracted from that or huge amount of that value is going to come directly from us. So we are working with several pilot customers right now. Google is our technology partner, but we actually are partnered with other vendors as well on the back end. So it’s not exclusively Google. We can bring to bear any AI technology that we so choose. And we have sort of 3 ideas and 3 initial legs to the stool around the pilots that we’re doing with our customers and we’re learning at this point. So again, you’re not going to see the returns here measured in quarters, but probably in years. But the longer term opportunity to automate, the really boring drudgery that most call centers do day in and day out. It is really the opportunity that AI presents. And that is a 10 times larger TAM opportunity than just selling the existing technology that we do today. So think about our current TAM is sitting at about $24 billion per year, but there’s $250 billion spent a year in contact center labor. And the only way to automate that labor is to get access to massive amounts of data and train artificial intelligence systems to start to augment and replace ultimately the routine and repetitive calls and scenarios that are coming into those agents. So that’s the opportunity.
Raimo Lenschow: And then it’s key double click a little bit on the partner competitive landscape as it is evolving like you’ve been working for few quarters now with Verint. NICE obviously has acquisition that they need to work on and how they are in the market in the Genesis. Can you just double click a little bit what you're seeing out there?
Rowan Trollope: Yes. So NICE is both the partner and the competitor obviously. Verint is a partner. There are lead partner from WFO perspective and lot of that tremendous market share in that category. We deliver that as part of our service. So when customers choose to go with WFO especially at the higher end of the solution, we bring in and host and deliver NICE as a part of our service -- sorry, Verint as a part of our service. We also have other vendors that we use for the lower end of the market and so that's how we partnering the WFO, WFM space. We have number of those partners and they're working really well. In terms of competitively, obviously, we see NICE inContact. If you see the latest Gartner Magic Quadrant, both NICE and I and Five9, we remained in the top upper right hand side of the quadrant with our third competitor sort of dropping down on ability to execute. And I think that's just a reflection of market presence. So fact is that NICE and Five9 are the clear breakaway leaders in the contact center space.
Operator: We'll next to Zack Turcotte with Dougherty. Please go ahead.
Zack Turcotte: This is Zack on for Catherine Trebnick. I just want to jump back to the sort of multichannel contact center approach again. So first, how do you see your average deal size changing during the past 12 months with e-com and addition of features and capabilities and expanding across more channels? And secondly, do you think that companies like Vonage and Twilio might have somewhat of a competitive advantage in this sense since they have inherency past capabilities and can build APIs, they have their API toolkits to build more customized solutions as these customer demands widen?
Rowan Trollope: Do you want to take the first part, Dan?
Dan Burkland: Yes, sure Zack. So this is Dan, regarding multichannel. Yes, that continues to be one of the vectors that help us get larger deal sizes. But the primary one, when we add chat or email or SMS one of the other channels to the contact center, it's still just a small addition to the bundled capabilities that that agent has with us. So that doesn't contribute a ton to the uplift in size. The main uplift in our deal size is from the size of the customers. The cloud contact centers cloud has been adopted over the years further and further up market as people see others trusting the cloud and building the security, the scalability the reliability and show them that you're improving in each of those areas. But then also giving them an ability to innovate and customize the solution more effective than they can today with their premises solution. So I would argue that most of those customers that do want multichannel premise. They want finished product, they don't want an API where they have to go build an email solution and figure out how to build all the features sets they go into that. They want something that's already built in and that's been still specifically for contact center, but yet has the openness and flexibility for them to come, I and make it tailored to their own needs and requirements. It's interesting because it's kind of a missed number when people have there is a perception sometimes misplaced that, if it's in the cloud I am going to have less flexibility or less openness, and it couldn't be further from the truth, building the platform with the proper APIs and SDKs give that customization capability to all of our customers. And they enjoy the ability to do that as we said in the earlier remarks. So, Rowan?
Rowan Trollope: Yes and I would just add that, our product has over 300 APIs that developers can and do use to customize it and tune it for their specific environment. I said earlier no two contact centers are the same. And what we’ve been doing for the last decade is, iteratively honing and refining our feature that with our customers in each new segment that we enter. And we’ve gotten really, really good at delivering that value quickly. The deal, the length of time to take our product from the first time you talk to us until you’ve deployed is still very, very short when compared to what you would need to do if you attempted to sort of do it yourself hiring developers and working through that process. Now I think that the CPAS -- to answer your or to speak specifically to your question about CPAS. Many of our customers, CPAS, it's origination in the sort of a different space than ours, right. It came up originally for developers to be able to embed communications into their applications. And I think that’s a hugely positive development obviously Twilio has done very well with that as had Nexmo and Plivo both, I think as well as Tropo. So there are, the host to CPAS providers that you use or even going directly to Amazon in some cases. And I see the customers that I’ve talked to. They do use those technologies. They’re typically used by a different -- often used by different teams in the call centers team. They’re used by the product team where they’re looking to do integrations into the product. Often orthogonal use cases to the specific classic contact center used case. Sometimes they’re similar, but they’re often orthogonal. And so I think that it’s an adjunct. And it’s a slow sort of an -- it’s an interesting new take on how to build more and more communications with your customer. But ultimately, it is a reflection of the same trend that we said earlier, which is. Look, you need to communicate with your customer more, and the more places you can embed those communications and that you can transform those communications with your customers, the better. In our case, it’s really all about the contact center and the classic contact center. In the case of CPAS, it’s about building that into your mobile app or building in capabilities into doing authentication through SMS and so on. And so I think it’s an interesting adjunct and a new step here for this market and we’ll see how it plays out.
Operator: We’ll take our next question from Jeff Van Rhee with Craig-Hallum. Please go ahead.
Jeff Van Rhee: Several questions for me. First just, I guess starting at a high level, if I look at the guide, roughly 16%, if I had the math right on ’19. Just essentially saying you’re comfortable at this early point with the consensus. Last several quarters, obviously showing you accelerating growth, and it's just been particularly the last two quarters really stand out growth. When you look at that forward number I get it, I followed you a long time. You guys are really cautious and conservative and then just deliver the outperformance as you go, but demands asking. Do you see anything that suggests that level of deceleration or incremental caution and what you might have thought 90 days ago?
Dan Burkland: Jeff, your short answer is no. We’re just at the stage as we traditionally have been prudent. There is very seasonality aspect of our business and we want to be able to wait and see exactly how that turns out and emerges before we commit to it. The business remains robust. This across both now the enterprise and commercial we'll see what happens as we get closer beginning of 2019 guidance, but it should not be anything beyond what I just say into that 16%.
Jeff Van Rhee: Dan, maybe on the sales side. Just -- can you talk a little bit about sales recruiting the pace of ads thus far the year across sort of your preliminary thinking about '19 to the extent that you're willing to share with share would be sort of just open ended talk to me about what's changing? Because you've certainly add there is a lot of capacity, I know you've gone for people that are know entities historically and then remarkably consistent and bringing amount of scaling, but just talk about how that's trending what you're thinking about '19?
Dan Burkland: Yes, great question. It continues to get better and better. I mean when you look at the opportunity for the reasons I mentioned on the earlier question with our success and our growth and our accelerated growth our brand, our reach that continues to get to more ecosystem partners more channel partners. There is a lot of things happening that makes Five9 a great, great place to work not to mention our culture. And just I think the integrity and how we do business testament that's validated by our customers every day that we work with them. So I think we have a very, very attractive and envious place to be and we continue to get our door knocked on more and more quarter-in-quarter-out. It's gotten better and better and it allows us to be more and more selective as we go through that recruiting process. So I couldn't be more pleased with the theme that we have and be more proud of the leadership team that we have in the field, selling as well as on the commercial team. And again it just allows us to attract better and better people all the time. And one thing that is different, when we go out into the market and we're recruiting folks that are even at the individual contributor level. There is a criteria that we look for knowing our future and knowing how we're going to grow this business and continue to expand be a leader and take this company to whole new levels. It's important for us when we do recruit folks and we've been doing this for the last several years to make sure that they not only have the experience and success in their DNA of selling, but also that they have aspirations and neither to experience that their own or aspirations to grow and that they are management material. It's been very easy for us to promote from within and promote successful people and have them either turn into the great leaders or have that experience already under the belt when they come in as an individual contributor and then jump into a leadership role once they've learned a Five9 way. So I think we're in great shape there and we're hitting on all cylinders when it comes to sales.
Jeff Van Rhee: And last one. Then I guess obviously with the top line acceleration. To what extent is the market itself accelerated in last 12 months? Ask differently, how does it feel this quarter say compared to 12 months ago in terms of the spend environment in rate of growth in the overall market?
Dan Burkland: I think the spending is certainly there. I mean it was a little different way back in the CapEx days when we're selling the on premise solutions and you needed those CapEx dollars, but I think we’re pretty much immune to some of the macroeconomic conditions. So we’ve seen way back over the years. We’ve done well, even when times were tough. But having said that, in today’s market, we’re seeing the momentum continue and really aside from that spending, I think it’s more about what Rowan had mentioned earlier. It’s about companies realizing that they need to change the way that they deliver a customer experience or they’re going to get left behind to be out of business. More and more, I mean, you see it even in the media, you turn on the television today and you see a commercial and they all talk about the competition to deliver a better experience. That said more often today and I’m building a better product and I’m giving you a better product. It’s more about I’m going to deliver you something that you’re going to enjoy and you’re going to want to work with my company. And so that difference in messaging translates to companies realizing, I’ve got to go through this transformation and get to where I can deliver the optimal customer experience. And to do that, the first step is get off the old legacy technology to where I have a solution that gives me the visibility and control over my data. So I can inspect it and get insights to what my customers are thinking. I’ve got to know the customer journey and which ones are working and which ones are not working. So, that I can make the changes in how I deliver an experience to a customer big, big part of that in the contact center, it’s not just in the contact center, but that’s a big, big part of it. So I’ve got to get on the foundation and on the platforms that allow me to them navigate and be able to change as I recognize my customer wants change or I recognize that my customer needs a change, because I’m not succeeding with him.
Rowan Trollope: And this is Rowan, I’ll just add to specifically around market growth. We don’t have good data around that. What we do have good data around as our win rate, which continue to remain strong, about three quarters of every, of the deals on the cloud side that we win. And so that remains strong. So what I think, you need to pay attention to is, as customers look to transition to public, to cloud vendors, are we getting our fair share? And the answer is, not only are we getting our fair share. We’re getting more than our fair share, which is great. And then second, look at our dollar base retention rates. And those are up again, this quarter over a 100% very correct me if I’m wrong, 101% dollar base retention rates. And what that should tell you is not only our customers moving on to our platform, but when they move on to our platform, they buy more and that’s really important to keep in mind. So 101% dollar base retention rate and win rates remaining strong and it feels, while we don’t have data, it certainly feels like the market is robust as people continue to accelerate the shift to the cloud.
Operator: Move now to Terry Tillman with SunTrust. Please go ahead.
Terry Tillman: I’ll try to go through these really fast even through we’re pass an hour, but the commercial business and also congrats. On the commercial business, any reason why this higher growth that you’ve seen over the last couple quarters can’t be sustained in the fourth quarter and next year?
Dan Burkland: Well, remember that we had some weak compares from the previous year, so that certainly one factor. We have made changes to the team from an execution perspective. But I’ll repeat what we said last quarter. Two quarters don’t make a trend. So, we’re just being prudent regards to forecasting that part of the market. Obviously when you see our pack-to-LTV ratios and you look at enterprise being a 6 to 1 or 1 to 6 I guess you should say tax LTV versus the commercial market being 2 to 1. We want to continue to invest in that enterprise business which is also growing faster. So I think we're confident in what we've changed in the commercial team that's now that is working. And market is obviously strong and the overall economy is strong, our brand presence and awareness of our brand continues to be strong. So we've got our new CMO as well joining us. So we think that that's going to continue to accelerate. So we feel good about the commercial business, but there is a variety of factors there.
Terrell Tillman: Okay. And then just lastly, the pilot work related to some of the AI initiatives rolling. I appreciate the idea that could potentially significant expand it's home -- conversation automated interactions. Will that changed kind of at the makeup of how you charge for your software? And could some of these AI driven deals start to become meaningful in the revenue stream in '19. Thanks again.
Rowan Trollope: Yes, so I'll take those questions one at a time. The way that we charge, there are three different offers that we've been piloting with customers. And it depends which of them sort of gets traction first. One of them is business IQ or business insights capability where we translate all the calls to text and then we extrapolate based on those what the call dispositions were. So we pull out the insights that what is the customers say and we can do that at scale in an automated way, not previously possible. That one is a new business or would be a new way of charging customers a new offer that we might have to customers. Second is that virtual agent, and agent assist. On the virtual agent, I think that's an interest one we may look to charge on per minute or per hour basis that can be different ways of modeling that. It's similar to that to today we sale a seat for an agent and then we sale an LD charge for usage. So I think that would be similar but instead that's having it attached to a human it would be attached to a virtual agent. So we would no longer be linked to the number of agents in the call center. You might for example buy 1,000 human agents licenses from us but scale up and get 2,000 additional virtual agent licenses from us. So that's a speculation at this point and I think that's reflective of the second question which is I don't think this materially affecting our revenue in 2019. We're taking our time to get this right. It's a long term transition for the market. There is been a lot of false promises in the AI world in general including the recent bot hype that sort of went up and down. And we're in this sort of long haul. We want to make sure that we work with customers get a solution in place that really works and is practical. And I think that we just should careful about assuming any revenue coming in on any time soon.
Operator: Our final question today will come from David Heinz of Canaccord. Please go ahead.
David Heinz: So, two competitive questions for me. So, it's like 8 months since [indiscernible] spoken. Any sign now that they at least have some cloud migration talking point that they can leverage? I don't know if that's slowing down decision making among potential defectors. And you guys clearly have strong win rates in decisions made to go the cloud. But are they having any traction at least improving retention at all, now that they have a call product they can speak to?
Rowan Trollope: You could ask them about their retention because we don't know that, but the answer to your question no and no. We're not seeing a slowdown in our business and certainly on the surface what we have visibility too spoken is not a cloud SaaS contact center. So it doesn’t seem to be impacting our business 1 iota, Dan?
Dan Burkland: Yes, not at all.
David Heinz: Okay.
Dan Burkland: They continue to be the biggest donor of installed base legacy solutions that we replace each and every day.
David Heinz: And then, one more on the competitive front. So you guys, you called out the Gartner Magic Quadrant. Obviously, there are a lot of influences of play and new things. And we don’t put a whole lot of credence in them. But we know buyers pay attention. So I need to ask. So NICE inContact left ahead of Five9 inability to execute this year, any comments there or thoughts on what’s driving that perception in the field?
Rowan Trollope: Well, I wouldn’t say they left ahead of us. These are measured in millimeters. Let’s be clear. And certainly we wouldn’t necessarily agree with that judgment. We think we are executing terrifically well, but we don’t have visibility into what NICE is doing in the marketplace. We do have visibility into our win rate, which remains at about 3 out of every 4 deals. So we’re pretty confident of that. And after Cisco, and Avaya, our third biggest takeout still remains NICE inContact, which is extremely strange because you wouldn’t assume that after a customer has moved to a cloud platform, they would move again, but they are. So that’s an interesting data point and that’s what we have visibility to. With regards to our some of the factors that drive that Gartner Magic Quadrant, they lay those out pretty clearly. One of them where NICE gets credit, is their international traction and also their attraction with the channel. And I said earlier, I just came back from Europe. And there is a huge wave of interest for Five9. And they’re hearing -- I guess, the channel partners are hearing it from customers. So we’ve been thoughtful about how we’re going to leverage the channel. Like AI, we’re in this for the long haul we want to make sure we get it right. It’s easy to go too quickly with the channel. And we wanted to make sure that our product and integrations and capabilities were really ready for the channel. And so, it’s a key area of investment for us. It’s going to be a key growth forever for us going forward.
Operator: That will conclude our question-and-answer session for today. I’d like to turn the call back over to management for any additional or closing remarks.
Rowan Trollope: Thanks operator and thank you to everybody for joining our call today. Thanks for all the great questions. And most of all, I’d like to give a special thank you to our customers and our employees for delivering yet another stellar quarter. So to wrap up our call today, let me summarize where we are. First, we see an enduring growth opportunity in the market, that’s reflected in our financial results and in our industry recognition. Next, we’re confident in our ability to continue to execute as a leader in our space by delivering on the world best intelligent self-learning contact center delivered through the cloud and powered by AI. And finally, I believe that the contact center is going to change more in the next 5 years than it has in the last 25 years combined. Thanks for joining our call today. Thanks to the Five9 team and thanks to all of our customers. Good afternoon.
Operator: That will conclude today’s conference. Thank you all once again for your participation and you may now disconnect.